Operator: Good day, and welcome to the Cedar Fair Entertainment Company 2024 First Quarter Earnings Call. [Operator Instructions]. And finally, I would like to advise to participants that this call is being recorded. Thank you.
 I'd now like to hand over to Cedar Fair. 
Michael Russell: Thank you, Gavin, and good morning, everyone. My name is Michael Russell, Corporate Director of Investor Relations for Cedar Fair. Welcome to today's earnings call to review our 2024 first quarter results for the period ended March 31. Earlier this morning, we distributed via wire service our earnings press release, a copy of which is available under the News tab of our investors website at ir.cedarfair.com. On the call with me this morning are Cedar Fair's Chief Executive Officer, Richard Zimmerman; and our Chief Financial Officer, Brian Witherow.
 Before we begin, I need to remind you that comments made during this call will include forward-looking statements within the meaning of the federal securities laws. These statements may involve risks and uncertainties that could cause actual results to differ from those described in such statements. For a more detailed discussion of these risks, you may refer to the company's filings with the SEC.
 In compliance with the SEC's Regulation FD, this webcast is being made available to the media and the general public as well as analysts and investors. Because the webcast is open to all constituents and prior notification has been widely and unselectively disseminated, all content on this call will be considered fully disclosed.
 Before we begin, I want to reiterate that the purpose of today's call is to discuss the 2024 first quarter results and answer related questions. During Q&A, management will not be taking questions about the proposed merger with Six Flags.
 With that, I'd like to introduce our CEO, Richard Zimmerman. Richard? 
Richard Zimmerman: Thank you, Michael. Good morning, and thanks to everyone for joining us today. Before we discuss our results, let me provide a quick update on where we stand in terms of the proposed merger with Six Flags. Back in March, Six Flags shareholders overwhelmingly approved the merger of equals transaction which we continue to believe will be completed before the end of the second quarter. At this time, we have substantially complied fully with the Department of Justice second request and both companies continue to work constructively with the DOJ in its ongoing review of the merger. At the same time, our team has been working diligently to complete the initial phases of a joint integration plan that upon closing of the transaction will allow us to bring our 2 strong companies together efficiently and effectively and realize the full potential of the strategic combination. Naturally, as this process moves forward, we will keep the market apprised of other material events.
 Now let's move on to our operating results and our outlook for the year ahead. Earlier this morning, we reported first quarter results that maintain the positive momentum we established during last year's record second half. Our first quarter results were solidly in line with our expectations coming into the year. Although our first quarter historically represents only about 5% of our full year attendance and revenues, getting off to a strong start and building solid demand in our long lead channels is critical.
 Our first quarter performance positions us well for the peak summer season ahead and validates the strength of our portfolio and strategy as well as our belief that consumers continue to place a high priority on experiential entertainment. In a few minutes, Brian will review our operating results in more detail. First, however, let me highlight a few specific factors that underpin our confidence in Cedar Fair's long-term business model and the season ahead. First, we are coming off a record 2023 second half, and the key drivers of the strategy behind those results remain in place. Second, our long lead indicators led by season pass sales are trending very well. Third, our initiatives to operate more efficiently without sacrificing guest service are working and we are confident this will drive long-term margin expansion. And lastly, in 2024, we have our most complete and compelling capital program since the disruption of the pandemic and we are already seeing increased anticipation and excitement in our markets for all of the new rides and attractions.
 For the upcoming season, we strategically allocated capital dollars across our portfolio and are introducing marquee caliber attractions at 6 of our parks, including our 4 largest parks, as well as investing in numerous enhancements to the food and beverage, retail and premium experience offerings across our portfolio. Headline is in this year's [indiscernible] 2 marquee attractions include Top Thrill 2 at Cedar Point, the world's tallest and fastest triple launch strata coaster and a record-breaking thrill ride unlike any other anywhere. The ride they [ give ] to the public this past weekend and the response from our guests was incredible.
 Iron Menace at Dorney Park, the Northeast first dive coaster. The world's first kids water coaster at our Schlitterbahn Park in New Brownfields, Texas; and finally, the addition of new family coasters to the Camp Snoopy areas at both Kings Island and Knott's Berry Farm. We are confident these new rides and attractions will drive urgency and strong demand with our guests. I'm equally excited about the work our team is doing behind the scenes on the digital technology front.
 Based on our consumer road map strategy, we are making investments in scalable technologies that enhance the guest experience, drive revenue growth and improve operational efficiencies for our associates. An integral part of our long-term strategic planning process is a holistic analysis of the guest journey. We take a deep dive into every step our guests take in the process associated with the park visit. From researching and buying tickets to leaving the parking lot for the ride home. The objective for this exercise is known as Making Fun Easy, which is consistent with our goal to continually evolve and enhance the guest experience.
 Fast forward to what this means to our guests and our associates in 2024. In April, Carowinds, our park in Charlotte, became the first outdoor entertainment complex in the country to offer next-gen, 6G-enabled, WiFi coverage. And by the end of this year, this same technology will drive the wireless network at our 6 largest parks. Deploying a robust wireless network with improved coverage and capacity is consistent with our goal to seamlessly integrate and support the best possible experience for our guests and our associates.
 For the 2024 season, we are also introducing our next-gen mobile app that features a broader range of capabilities and experiential enhancements, including fast lane wait times and improved mapping of our parks. Our new park app has been introduced at all parks except for the Schlitterbahn Waterpark, where the app is targeted for rollout later in the year. Throughout the season, our team will be activating additional user-friendly features park by park, including real-time ticketing upgrade capabilities, incremental guest access to dining menus with mobile ordering functionality and other unique guest engagement options.
 We are also rolling out single-use Fast Lane passes at 7 of our parks, including our 5 largest parks. This enhancement to our front of the line program has the potential to make the premium offering of Fast Lane more attractive to a lighter segment of our guest base, providing us with another opportunity for meaningful growth and guest spending. Looking ahead, we are developing other scalable technologies to enhance a wide range of systems and processes, including a more guest friendly design on online ticketing, a next-gen e-commerce system that operates seamlessly across all consumer devices. The addition of more robust data capturing platforms to enhance the capabilities of our business intelligence group, a cloud-based hotel management system to accelerate innovations at our resort properties. And finally, AI partnerships that targets our value creation and risk mitigation across our enterprise.
 For decades, our parks were convenient and enjoyable getaway to unplug from the outside world. For most of us today, staying plugged in is a way of life no matter where we go. The expectation to always be connected now drives our consumer road map. Strategically, it's the same rationale we leaned into over the last decade when we invested tens of millions of dollars to build or enhance high-volume culinary engines that offer higher quality food and beverage options. It's simply listening to and responding to what our guests demand.
 With that, I'll turn it over to Brian. 
Brian Witherow: Thanks, Richard, and good morning. I'll start by discussing our first quarter results before wrapping up my remarks with updates on our balance sheet and the current state of our long lead indicators. As Richard mentioned, due to the highly seasonal nature of our business, first quarter results represent only 5% of full year attendance and net revenues, as most of our parks are closed during the period. As such, the company typically operates at a loss during the first quarter. It's also important to note that due to the fiscal calendar shift in the current year, the first quarter of 2024 includes 13 weeks of results compared to only 12 weeks in the first quarter last year.
 Because of the impact of the fiscal calendar shift, I'll start my comments with a recap of our financial results as reported before reviewing first quarter performance trends on a comparable week basis. Including the planned extra week in the period, operating days in the quarter totaled 117 compared with 161 operating days in the first quarter of 2023.
 The net decrease of 44 operating days was primarily the result of a strategic decision to eliminate lower-value, higher-risk operating days early in the year at several parks. These strategic calendar changes were primarily concentrated at 3 of our seasonal parks: Carowinds, Kings Dominion and California's Great America. For the quarter, we generated a record $102 million in net revenues on attendance of 1.3 million guests. This compares with venues of $85 million and attendance of 1.1 million guests during the first quarter of 2023.
 In addition to the 290,000 visit increase in attendance, the higher net revenues during the period reflect a $4 million increase in out-of-park revenues to a record $23 million. The increases in capita -- I'm sorry, the increases in first quarter attendance and out-of-park revenues were partially offset by a 6% or $3.94 decrease in in-park per capita spending. The increase in attendance during the quarter was the direct result of higher season pass sales and improved weather at Knott's Berry Farm as well as the inclusion of the extra calendar week in the current period.
 Meanwhile, the increase in out-of-park revenues reflects the impact of the extra week as well as the improved performance of the Knott's Hotel, which was under renovations at this time last year. The decline in per capita spending is due to a planned decrease in season pass pricing and a higher mix of season pass visitation at Knott's Berry Farm during the period. The softer per caps at Knott's were partially offset by improved in-park per capita spending at the 4 other parks with limited first quarter operations.
 Moving to the cost front. Operating costs and expenses in the first quarter totaled $215 million, up $25 million compared with the first quarter last year. The period-over-period increase reflects a $15 million increase in SG&A expense, $9 million increase in operating expenses and a $1 million increase in cost of goods sold. The increase in SG&A expense was largely attributable to costs related to the proposed merger with Six Flags. Excluding the merger-related costs, SG&A expense for the quarter increased $5 million, the result of the additional calendar week in the current period and higher spend on technology initiatives.
 The increase in first quarter operating expenses was entirely due to the additional calendar week, offset in part by a reduction in full-time wages and related benefits. Meanwhile, cost of goods sold as a percentage of food, merchandise and games revenue decreased 250 basis points compared with last year's first quarter. The result of planned initiatives to reduce food and beverage costs.
 Shifting our focus for a moment to comparable period operating results on a same-week basis or comparing the 3 months ended March 31, 2024, with the 3 months ended April 2, 2023, net revenues increased 3% or $3 million and attendance was up 10% or 125,000 visits. Meanwhile, out-of-park revenues were up 8% or $2 million and in-park per capita spending was down 8% or $5.39. We're very pleased with the increase in attendance as it was generated over 62 fewer operating days than the same period last year. On a same week basis, first quarter attendance per operating day was up more than 4,500 visits, in part the result of eliminating the smaller attendance days in January and February at our seasonal parks.
 On a same-week basis, first quarter operating costs and expenses were up $10 million with the increase entirely due to the merger-related costs. Excluding these costs, operating costs and expenses were essentially flat between years despite our parks entertaining 125,000 more guests during the period.
 As we discussed in our last earnings call, we remain laser-focused on improving margins by increasing demand and driving operating efficiencies across our portfolio, particularly around variable operating costs such as seasonal labor. During the quarter, we reduced our seasonal labor hours by 3% on a comparable week basis, while at the same time, pushing our average seasonal labor rate down approximately 1%. As more of our parks come online, we will continue to aggressively manage seasonal labor hours and other variable costs as well as look for opportunities to reduce general and administrative overhead costs.
 As evidence of this, our [ loan ] park with substantial first quarter operations, not Berry farm, was able to improve EBITDA margins on a comparable week basis by more than 200 basis points during the quarter by driving demand levels higher and tightly managing variable costs. Something we are confident can be replicated across the full portfolio going forward.
 Now turning to the balance sheet. At the end of the first quarter, Cedar Fair's balance sheet remains strong with ample liquidity to fund future cash obligations. Last week, we fully redeemed our 2025 notes using proceeds raised through a new $1 billion term loan, while also securing a new $300 million revolving credit facility, which replaced our former revolver. The transaction execution was excellent, and demand for the loan was significantly oversubscribed, underscoring the market's confidence in Cedar Fair and our management team.
 Following the financing and subsequent bond redemption, we have no near-term debt maturities. This refinancing was part of a series of financing transactions undertaken by Cedar Fair and Six Flags and anticipation of the merger closing. The steps taken improve Cedar Fair's capital structure flexibility and position the future combined company with sufficient liquidity to address any near-term debt maturities and anticipated fees and obligations associated with closing the merger.
 At the end of the quarter, Cedar Fair's net debt totaled $2.4 billion, and we had total liquidity of approximately $157 million, including $35 million of cash on hand and $122 million of available borrowings under our revolver. Regarding the use of cash, during the quarter, we spent $57 million on capital investments which was in line with expectations and consistent with our plans to invest between $210 million and $220 million for the full year.
 During the period, we also used $14 million of cash for interest payments, $3 million on payments for income taxes and $15 million on cash distributions to our unitholders. Taking a closer look at our long lead business indicators for a moment. As Richard mentioned, we are very encouraged by the strong start and the solid trends we are seeing within our long lead indicators. This includes positive booking trends within our group sales channel and at our resort properties as well as a record pace for unit sales of season passes and other all-season products. Through the end of the first quarter, sales of season passes on a comparable week basis were up 8% or approximately $15 million, driven by a 17% increase in units sold or an increase of more than 270,000 units. The lift in units sold was partially offset by an 8% decrease in the average season pass price, which was primarily the result of the strategic decision to adjust season pass pricing in a few markets to drive demand, most notably at Knott's Berry Farm, which has our largest season pass base.
 Meanwhile, total sales of other all-season products through the end of the first quarter were up $13 million or 27% on a comparable week basis, reflecting an increase in units sold and higher average pricing. Driven in large part by the outstanding start to our season pass sales program, our deferred revenue balance at the end of the first quarter totaled $233 million, up approximately 10% compared to the same time last year. Excluding carryover pass benefits during the COA disrupted years, this level of deferred revenues would represent a record for the first quarter. Consistent with our strategy of dynamically pricing when demand trends permit, we've adjusted season pass pricing up since initially launching the program last fall. Most recently, average season pass pricing has trended up mid-single digits, while unit sales have also paced up mid-single digits. Heading into our peak season pass sales cycle, we are optimistic these positive trends, combined with tailwinds in other demand channels such as group bookings and reservations at our resort properties position us well to deliver another outstanding season in 2024.
 With that, I'd like to turn the call back over to Richard. 
Richard Zimmerman: Thanks, Brian. Before we open the call to questions, I'd like to share a couple of additional thoughts. First, as Brian mentioned, our team remains laser-focused on improving margins by driving higher attendance and activating cost-saving measures across the portfolio. These cost-saving efforts are multifaceted However, there's a concentrated effort around labor, given it represents more than half of our overall cost structure. And while we are focused on driving the efficiencies, we are also committed to maintaining appropriate staffing levels and delivering the high-quality experience our guests have come to expect, particularly as attendance levels continue to improve.
 The importance of labor availability and the recruiting process is an area of our business that is often overlooked, it was a hot button issue coming out of the pandemic when labor supply was limited, and we saw a structural shift in labor rates. At the time, we made the strategic decision to increase our rates to market leading to ensure our parks are adequately staffed, so that all our rides are operating and all our revenue centers were open. As attendance has recovered and labor markets have stabilized, we have successfully optimized both seasonal labor rates and seasonal staffing levels, largely due to the decisions we made back in 2020 and '21.
 And as a result, heading into the 2024 summer season, we are enjoying some of our healthiest staffing levels in years, and we continue to realize seasonal rate efficiencies. Some of those gains are the result of automating our recruiting process, including the addition of an AI chat feature on our career site, which has measurably increased applicant flow and expedited the overall hiring process. Our recruiting and hiring process remains active throughout the season, but we remain cautiously optimistic about the labor outlook given our applicant flow and hiring to date.
 And as I hope you can tell from our prepared remarks, I'm as excited as I've ever been for the future growth potential of our business and this industry. Based on our record performance over the second half of 2023 and the momentum we've carried into the start of 2024, we remain optimistic about the health of the consumer and the general strength of our core markets overall. Because operating days are relatively few during the first few months, this period best serves as an early gauge for the season ahead. It is also the one time of year we can clearly see the tangible results of our long-term vision at play. The years of decisions that now fill our parks reinforce how we got here, respect for a culture that remains steadfast in dreaming big, planning smart and executing with precision.
 For decades, this time-tested and successful approach to building our business has delivered results, and we are confident that we remain on the right path to drive long-term profitable growth regardless of market conditions. We have built a strong team of professionals who continue to excel and deliver against any challenge thrown their way. We are fortunate to have a high-quality business model we can rely on. One that produces free cash flow year after year to reinvest in the breadth and quality of our entertainment product that consumers have come to love and appreciate. We know this because season after season, our loyal guests continue to purchase their day tickets and their season passes and frequently return to our parks, demonstrating a recognition of the strong value we offer in family entertainment.
 As a reminder, we have no further updates on the merger beyond what I shared at the beginning of the call today. We ask that you keep your questions focused on our first quarter performance and our results.
 Gavin, that's the end of our prepared remarks. We'll open the call for questions. 
Operator: [Operator Instructions]. Your first question comes from the line of Steve Wieczynski from Stifel. 
Steven Wieczynski: So Brian, can we think about costs for a second. If we look at your combined operating expenses, SG&A in the quarter, you take out the merger cost, they came in around, I think it was $193 million. So I don't think if we want to compare those to last year given the weather that you guys encountered. But if we went back and looked at, let's say, 2022, I think those expenses were maybe around $160 million. So that's up almost 20% over a 2-year period. And look, I fully get the inflationary environment, I understand the labor environment. But I guess what I'm trying to understand is maybe how we should think about cost growth? Or is there anything one-off that I'm kind of missing that is driving those costs a little bit higher than what we would have thought outside of labor and inflation? 
Brian Witherow: Yes, Steve. So I think when you look at costs year-over-year, there are always differences. Some of the timing, others of them, as you noted, related to inflationary pressure. As we think about cost for 2024, our inflationary outlook is certainly better than it's been the last several years. While there's still some individual channels where the broader market is seeing pressure, things like insurance, property taxes, those are smaller dollar items in our overall cost structure. I think what we're most focused on are those are tightly managing those variable costs, as we noted on the call, most directly seasonal labor and very pleased with what we've accomplished so far in the early going this year. But also I have to look back to last year when we were very effective in taking both hours out of the system, but keeping rates flat.
 So as we look at the year ahead, we continue to see opportunities to mine more cost out of the system on the variable side. We will always look for ways to find more efficiencies in the overhead and general administrative costs, but feel very good about where things are pacing at this point. 
Steven Wieczynski: Okay. And then second question, you guys talked about -- obviously your season pass sales look -- are pretty impressive so far this year. But you obviously made a decision to lower pricing at Knott's. And I guess I'm just trying to understand maybe why that market? Is the -- the Southern California market, is it so sensitive right now to price increases? Or are there other entertainment options -- other entertainment options out there that might be taking share from you and other parks from this? I'm just trying to understand that why just that market. 
Richard Zimmerman: Steve, it's Richard. Appreciate the question. When we think of any particular market, we want to get off to a fast start. We compete in the out-of-home entertainment market for all consumers discretionary time in dollars and nowhere is that more parent in Southern California, where there's lots of options for the consumer. We talked about this last year. We saw a bit of weakness in the first half of last year, not just economic weakness, not just because of weather, but California was not firing on all cylinders in the first half of the year. We just started to see that turn going into the fall. But as we've said before, and Brian reiterated in his marks, dynamic pricing swings both ways. We wanted to make sure that we got off to a strong start and then we would take pricing as we built into the demand.
 I'll take you back to Brian's remarks that for the last -- most recently for the last few weeks, we're up mid-single digits across the portfolio in unit sales and mid-single digit in price. So we've built a healthy base. The deferred revenue balance is stronger than I've ever seen it, and I'm really encouraged by what that means. But we continue to see, as we open up our parks, strong demand for season passes even at these price points were up over last year.
 So we sell about half of our season pass sales between 45% and 50% in the spring period. And at these prices, I think we'll be really pleased with both the revenue that generates from that, but most importantly, the attendance that really helps drive margin. We talked about Knott's being up 200 basis points in margin in the first quarter. I think as Brian said, we can see that -- that linkage to higher attendance throughout the portfolio, driving margin expansion, both in the short term and the long term. 
Operator: Your next question comes from line of James Hardiman from Citi. 
James Hardiman: So a couple of points of clarification here. You gave us the numbers on a, sort of, a comparable calendar basis, maybe solving for the extra week that you had. But there's really no discussion of the Easter shift and the fact that, that fell in 1Q this year as opposed to 2Q last year. Your peers called out that as a pretty meaningful 1Q benefit. It doesn't sound like you think that was a big deal for your business. Really just trying to understand maybe more than anything, how to think about second quarter headwinds. I guess, conversely, what can you tell us about the month of April or sort of the year-to-date trend in terms of attendance. 
Brian Witherow: Yes, James, it's Brian. So as it relates to Easter, and I think this may be where different park openings play into the impact. The shift in Easter really for us with not being open daily and that really being our only park with any meaningful operations, right? In the first quarter, Knott's would have represented close to 3/4 of our operating days. So that -- the timing of Easter, not as big of an impact for us. More so what we would say for Knott's is their Boysenberry Festival, which the timing of that is probably more comparable to where it was last year. We're going to see continued strength out of Boysenberry in the second quarter like we did last year. So Eastern not so much of an impact for at least at a material level worth mentioning. 
James Hardiman: Got it. And similarly, as I think about the second quarter, then you don't see it being a meaningful impact. 
Brian Witherow: No. And I said we haven't provided any specific numbers, but I can tell you just at a high level, the general trends. As Richard just noted, whether you're looking at continued strength in advanced purchase products like season passes and the other all-season products. That continues to trend well in April. Broadly speaking, the -- having some of our parks start to open here more recently. Most notably, Richard mentioned to your point, the energy has been strong, and the general environment has been good. I'd say the trends that we saw in the first quarter, which I think we -- as we -- in our prepared remarks, noted, very pleased with continue into the month of April. 
Richard Zimmerman: James, I'll piggyback on what Brian said, let me jump in here. we had parks in the month of April, punching through 30,000 getting to healthy attendance levels on Saturdays that they opened up with good weather. We're seeing extremely strong demand. We always say this to you guys when the weather is good, that's our barometer. We've got parks doing over 30,000 on a Saturday in April. That usually shapes up to be a strong spring and a good year. 
James Hardiman: Got it. And then maybe asking Steve's question in a different way. As I think about operating expenses in the first quarter, I guess in the context of -- you had a pretty significant decrease in operating days. And so I guess if we were to look at this in terms of OpEx per operating day, that's up almost 50%. Now attendance for operating day is up even more than that. So maybe the operating day metrics are just kind of nonsensical in the first quarter. I'm sure the answer has a lot to do with which parts they open versus which park you sort of scale back on.
 But maybe help us think about OpEx in the context of that, you talked about taking out the lower-value, higher-risk operating days in the quarter from Carowinds, Kings Dominion, Great America. Maybe why didn't that affect the cost side of the business as much and if there's any takeaway as we think about rolling that through to the rest of the year? 
Brian Witherow: Yes, James, all good questions. And I think your point is spot on that a metric like operating cost per day or revenue attendance per day. Those can be pretty misleading and get skewed pretty quickly early in these smaller bite size looks, right? It's just a law of small numbers. And so I think that one's a hard one to look at it through that lens. What I -- I'll try it for you this way, when you compare to last year and the first thing I would say is that the majority of our parks are -- aren't in operation in the first quarter, as we said in our prepared remarks. And where we're operating or those parks are carrying off-season maintenance and staffing levels that are about as skinny as they can get without putting at risk the ability to be prepared to open in the spring, all right? So a lot of the costs that we're incurring those and we'll call it, sort of that fixed off-season base is about as skinny as it can get in order to get all your of season work on your rides repaired and all the maintenance work done so that you're ready to open in April and early May.
 So not much that you can cut from parks like Cedar Point and Kings Island, Canada's Wonderland to name a few, while you're waiting to get open. When you look at the parts that did have operations, Knott's Berry Farm, last year, we were successful in taking a lot of variable cost out of the system for all the wrong reasons, right? Tenants was disrupted because of the extreme bad weather that we saw in Southern California, we were closed 12 days last year in the first quarter at Knott's versus 5 this year. So there are puts and going back both ways. I can tell you what I'd step back to is, as we said, if you strip out the merger-related costs, Operating costs and expenses were essentially flat on a comparable week basis. And that's while still entertaining 125,000 more visits, there's a certain level of variable costs that come with that incremental visitation, especially if you're trying to defer the kind of guest experience that our guests demand.
 And so we're very pleased with where we're at. More opportunity as we saw last year when you get into the latter half of the second quarter and into the third quarter, get more aggressive on taking costs out of the system because that's where the majority of the variables cost lie. 
Operator: Your next question comes from the line of Ian Zaffino of Oppenheimer. 
Ian Zaffino: Great commentary on the group demand side. Can you maybe tell us what's driving that? And I guess, Six Flags has kind of commented similarly to the strength in group, but they also kind of pointed to some of the internal changes they've done with staffing as a way to drive that, but I guess now you guys are saying something similar. So maybe if I could just tell us what you're seeing there, any comment that you could give us. 
Richard Zimmerman: Yes, Ian, great question. We've always said that the group channel is the first to be disrupted when there's a slowdown. We saw that in '08, '09. We certainly saw that through the pandemic. We've also said it's the first -- it's a longer lead to come back and usually that takes 2 or 3 years. I will tell you what we're -- I'll separate down into youth groups versus corporate and youth -- a lot of the youth group business comes in the spring. We're extremely strong and trending back towards 2019 levels, if not going to surpass 2019 levels through the youth channels. So we're seeing our parks on a Thursday, Friday, particularly here like in Charlotte and other places, filled with buses in the parking lot, which is really good to see.
 So our used business, extremely strong. That was disrupted to the pandemic. A lot of schools were remote learning off and on, a lot of schools didn't want their kids take day trips. They're all back and forth now. But the real strength that we're seeing in corporate also says that companies are looking for ways to take care of their customers, their -- not just their customers, but their associates. And when we look at that channel, that tracking very closely to what we saw in the recovery from '08 to '09 into '10, '11, '12 and that 3-year cycle of recovery. Budgets are put back in the company side, they're looking to take care of their employees. So we're seeing that. So I think the strength of our offering, the fact that a lot of companies are looking to get their employees together if they're all working in the same location or if they're remote.
 I think we offer a unique product as do others in the industry where we can get people together and let them spend the day together networking and having fun. So I think strength on both of those 2 channels, which what we would call our rep-driven business, we haven't made any internal changes, but we are supporting it more and more with our CRM system and building a more robust prospecting and leading system. So we are investing in technology and other ways to drive that lead sourcing and that's been paying off for us. 
Operator: [Operator Instructions]. And your next question comes from the line of Chris Woronka from Deutsche Bank. 
Chris Woronka: So with the strategy to kind of reduce the operating days and hours, I guess, what kind of learnings do you take away from that? I know it's impossible to know what you would have had because by definition, if you were closed. But do you look to -- do you think as we look out and even maybe adjusting during the season, I know you're going to be running pretty full for peak season, but looking to the fall and even into next spring, do you think you do more hourly or daily adjustments? Or are you happy with how things ended up? 
Richard Zimmerman: Chris, good question. As we look back, just remember, last year was the first year we were opened in January and February in some of our Southern markets. We really want to see what the market would give us. And we went through an off-season evaluation and decided to pull those days because while we got response from the market, you had highlighted some of the challenges, weather being one, clearly, we knew that. But we wanted to see how far we could push it. We're always saying, if you're not testing, you're not learning. So we looked at that test and pulled those hours and days back. I think we've got the general profile of -- when we look at the operating calendar, what are spring is going to look like. We're always looking to add days where there is demand. So we're not shy about insert in a day, for instance, in use groups, if we fill up a Thursday, we'll open up on a Wednesday, and we'll make sure that we capture the demand.
 But from a planning perspective, as we're going through this year, we're always building next year, and we're taking away the lessons from it. So -- by the time we get to early summer, we'll look at our spring calendar and make sure that we get the operating plan for the spring next year. I wouldn't see major changes. I think this profile seems to kind of work for us. We may add a weekend here or there. But from a profile, I think we're comfortable with where we're at right now. 
Chris Woronka: Okay. Appreciate that, Richard. And then next question is kind of open ended, I guess. But you and some of your peers have talked about a lot of revenue generation opportunities through the app with push offers and things like that. Is there any way to kind of size that up, if not with a number, maybe a magnitude. I mean how much do you think you've done versus how much more there is to go on kind of that instant revenue gratification? 
Richard Zimmerman: So I'll let Brian weigh in here in a second. But as we think about any of those types of programs. First, I would say we, like others, are firm believers in a loyalty program and making sure that we engage our customers within that digital footprint. So I think that when you think about your most valuable customers, the season pass holder, we spend the most time with them. So we want to push that out. But when you look at a program, and I'll take you back almost 10 years, I think we sold our first all-season dining in 2015 and followed others in the industry, Six Flags as well. We've seen penetration levels on that increase year after year. So clearly, we're in the very early innings. But what's encouraging is once you build that customer behavior and they use the app and they start reacting to the push offers and all those types of things. That's a program that no matter where you start, we'll continue to grow year-over-year. Brian? 
Brian Witherow: Yes. Chris, just adding to Richard's comments. I would echo still in the very early innings. Our view of the app as a component of our digital transformation efforts at the park are about, as we said in our prepared remarks, about enhancing efficiencies, eliminating pain points for the guests which ultimately will over time translate into incremental revenue generation. I think from our perspective, the goal is always to try and push those per caps up in that 3%, 4% range over the long term. If we can do that, that's a healthy business model. This is just another tool in our tool belt for getting there. As we look, for us, you've heard us talk about it. It's less about just going out and boldly taking pricing in the parts. We don't believe we have that kind of pricing power. It's more about efficiencies and driving more transactions per guest and driving higher transaction values. And we think that the app along with some of the other digital initiatives that we have in place can help achieve that. 
Operator: Your next question comes from the line of Lizzie Dove of Goldman Sachs. 
Elizabeth Dove: I know the decline in admissions per cap this quarter and last was mostly due to the California reset. And that's obviously, as you mentioned, the majority of 1Q. But as that becomes a less important piece in our other parks open, can you help us kind of think about how to think about the pacing of admissions per cap for the rest of the year? 
Brian Witherow: Yes. Lizzie, it's Brian. So yes, I would reiterate, as you just noted that the first quarter numbers are so heavily skewed by Knott's. As I mentioned earlier, represents close to 3/4 of our operating days and honestly, probably closer to 85% of the attendance. So it's having an outsized impact when you look at this truncated window. If I carve Knott's out for a second and just look at albeit a small sample size, so I'll caveat my comment that way. We're seeing what we want to see out of the other parks that have started to kick off the per capita spending is solid. It's in that 3% to 4% range and in line with up 3% to 4%. And in line with our expectations in the early going. Will there be pressure on admissions per cap over the balance of the year? I think as long as we continue to see growth in some of those lower per cap channels like season pass like group there is going to be pressure on admissions per cap.
 The ultimate answer to your question, though, Lizzie, will depend on the mix, where does the mix of each of those channels ultimately play out as well as where does the mix of the park performance play out. But as we're seeing at Knott's even aware the price adjustments we did make have had a impact on that parts per cap. It's had the intended result as we noted with the attendance lift and most importantly, the revenue lift. So in the early going through the first quarter, Knott's -- our revenues are up double digits which is really what's most important. Per cap is a key metric for us. But at the end of the day, it's about revenue. And so our focus is drive volume, drive revenue growth and the per cap is going to be a little bit of what washes out on the backside. 
Elizabeth Dove: That's helpful. And then I guess on the other impact side of things, like the trends there kind of improved nicely this quarter. Any kind of read you can give on what you're seeing from the consumer or changes to food and beverage spend or merchandise, [ fast pass ], anything like that would be great just to kind of get a pulse check there. 
Richard Zimmerman: Yes. Lizzie, if I think about the month of April and what we've been seeing continued healthy increases in food and beverage leading the way, increased extra charge, premium offering, revenue and per cap as well, part of that. And we're just getting to where we've opened now Cedar Point, which with Top Thrill 2, we think the premium offerings there, most notably Fast Lane and the holiday Fast Lane and the single-use Fast Lane will be a nice lift year-over-year. So we continue to see strength in the consumer spending once they get in the park as Brian said, part of that is we've built a lot of engines that will drive transaction capacity and we continue to listen to what the customers value and try and provide that and premium offerings sitting on top of a healthy attendance space seem to drive a really strong revenue growth, and that's what we're focused on. 
Operator: Your next question comes from the line of Thomas Yeh of Morgan Stanley. 
Thomas Yeh: Richard, I wanted to follow up on your comments about the healthy staffing level and setting industry-leading wage rates. In light of some of the minimum wage increases that we've kind of seen in certain areas of your footprint, do you see the need to react to that? What does that kind of do to the broader wage market? 
Richard Zimmerman: Well, we always -- good question, Thomas. We always look at the scheduled increase of minimum wage to factor those into our plan. But as you saw last year where we managed down the seasonal wage rate in this year where we've managed to both take hours and manage the rate down. We think we've got a lot of tools to be able to continue to manage through that. So I think our workforce management team has done an incredible job working with our operators at the parks. And we are getting really a lot more efficient. And we're looking at making sure that while the rides are open and operating, the revenue centers are open, how we staff the park in general, that we'll continue to take advantage of the regional differences in the labor markets, and it is very different market by market.
 But we think that we have an ability to keep driving that rate slightly lower while we have the hours we need to make sure we can service the higher levels of attendance that we're seeing. 
Thomas Yeh: I see. That's helpful. And then just another one on the digital transformation opportunities. You laid out some pretty exciting initiatives. Is there maybe a way to think about within the $210 million to $220 million CapEx guidance how much is maintenance and how much is growth? And how should we think about kind of ROI on the growth piece and how that kind of shapes out over time? 
Brian Witherow: Yes, Thomas, it's Brian. So within those capital programs, ideally, we would usually like to see somewhere approaching 60% to 70% of that spend beyond what we would consider either marketable or ROI driving projects, projects that either drive attendance and urgency to visit like Top Thrill 2 or Iron Menace at Dorney Park or guest spending through investments in things like new mobile app, expanded or improved food and beverage offerings, et cetera. So the balance of spend then is really on more of your infrastructure type of projects, the things that are really important that people don't often pay attention to until they're not working. So things like a WiFi platform, thing like the roadways and the parking lots, restrooms, et cetera.
 In terms of returns, it will vary park by park, but it's fair to say that the big attractions, the marquee rides, the Top Thrills, the Iron Menace, things of that caliber have historically generated returns 1-year cash-on-cash returns that are well north of 20%. And now that's going to depend. There are a lot of macro factors that come into play, right, when you're looking at that that's the weather like for that season, are there broader economic headwinds or tailwinds, et cetera. But we've seen great success with those types of marquee attractions over the years, which is why we're so excited about this year's program. As we noted that it's the first capital program that's -- what we would consider sort of the normal and complete capital program that wasn't disrupted by the pandemic because they -- those programs got disrupted by several years based on the cadence of getting those rides purchased and built. And so we're really excited about what we have in place for '24. 
Operator: There are no further questions at this time. So I'll hand back to Richard Zimmerman for closing comment. 
Richard Zimmerman: I want to thank everybody for joining us and for your continued interest in Cedar Fair. We're looking forward to doing an exciting year ahead, and we hope to see you with us every step of the way. We sincerely hope you can find some time to see you to visit our parks. So you can see firsthand what makes our brand of entertainment so special and timeless. Michael? 
Michael Russell: Thanks again, everybody. Please feel free to contact Investor Relations at (419) 627-2233, and our next scheduled call will be in early August after we release our second quarter results.
 Gavin, that concludes today's call. Thank you. 
Operator: That concludes today's call. 
 Thank you for participating. You may now all disconnect.